Operator: Good day, and thank you for standing by. Welcome to the Sappi First Quarter 2026 Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Steve Binnie, CEO. Please go ahead.
Stephen Binnie: Thank you very much, and good day to everybody. Thank you for joining us. I will move through our investor presentation and as always, call out the page numbers as I go. And just starting on Page 2, I draw attention to the disclosure on forward-looking statements for you. Moving to Slide 3 and looking at the overall numbers for our Q1, it's fair to say that these were challenging market conditions with a number of headwinds, which had an adverse impact on our earnings. And just highlighting a few of these, which have the most material impact. Firstly, dissolving pulp prices down $160 compared to a year ago, a very material impact. And then we've seen this shift in exchange rates linked to a stronger dollar -- sorry, a stronger rand or maybe even more relevant is a weaker dollar, which once again has a major impact on our earnings. On top of that, we've seen -- as we've gone live with our Somerset Mill PM2 project, we have come to market at a time when paperboard markets are weak in North America, which has meant that our ramp-up has been a bit slower than anticipated. We did have some production issues in North America. These were once-off events, mainly linked to our utilities and they caused the mills -- the 2 mills to go down at different points in time during the quarter. We did have the scheduled maintenance shut in Somerset. That, as guided, was about $17 million. That went very well, and we were pleased with the outcome. Offsetting these significant headwinds, we continue to focus on what we can control, and there were a number of cost-saving initiatives across the group. And on top of that, we did get some energy refunds in Europe, which offset the higher energy costs that you do occur during the year. Moving to Slide 4, which is the earnings bridge, comparing last year quarter 1 to this year, obviously, this year, we had $90 million EBITDA, which is lower than we would like it to be as a result of the headwinds that I mentioned. And if you reflect on this page overall, you can see that pricing is the main story. It's across all segments, but in particular, DWP. It's had a major impact. The volumes actually held up pretty well, and we'll talk about that in a little bit more detail. We did get savings on costs, variable costs. And that's in spite of the -- what's included in that is the exchange rate impact on higher costs coming through. A number of our costs, as you know, are denominated in euros and rand. And when you convert that to dollars, it does have a negative impact. We had -- under fixed costs, we did have the Somerset shut in the quarter coming through. And then you have your annual increases as well on labor. So all in all, a substantially lower level than last year due to the headwinds that I described. Moving to Slide 5, specifically on the major variable costs, the main categories. I'm not going to talk to all quarters, but in more recent times, you can see that energy and wood costs have been rising. Chemical relatively stable and low and pulp prices, as you know, low. So that has helped us a little bit. But unfortunately, because of the translation of these costs from foreign currencies into dollars, it does have an adverse impact on the overall cost of the group, and that's reflected inside these numbers. Turning to Slide 6, our net debt to adjusted EBITDA development. Because of the lower earnings and the impact of the currencies on our euro debt, it has meant that our ratio has increased to 5x, in absolute terms, our net debt is at $1,951 million. You can see in spite of the difficult quarters that we're currently experiencing, you can see that we have managed to keep our net debt levels relatively stable over the last 2 quarters. Moving to Slide 7, the maturity profile of our debt. And just to call out a few key elements. Firstly, under short-term debt, you can see we've got EUR 183 million reflected there in euro. And I'm very pleased to say that after quarter end, we did finalize and sign and ultimately, the cash has flowed a new EUR 200 million 5-year term loan to replace that. We're very pleased with that, and we got the support of the banks. We did swap that to dollars. And obviously, with the dollar weakness at the moment, we felt it was appropriate to swap that into dollars. So we've done that. And another milestone at the same time has been the renegotiation of our RCF facility. Our drawings on that is reflected here under the 2027 box, the EUR 117 million. As I say, pleased to say that, that has -- we signed a new facility increased from EUR 515 million to EUR 550, we've got 2 additional banks part of our syndicate, very pleased with that. And I think it reflects strong support from our banking partners as we move forward. We did negotiate higher covenants with that, and that maintains our flexibility as we move through these challenging times. Moving to Slide 8. The cash flow and CapEx. Well, firstly, on the cash flow, and it's really reiterating the point that I made earlier that in spite of all the challenges, our net cash utilization was only $3 million despite what we've faced. And then on CapEx, we've taken a very close look at all our CapEx expenditure as part of our Back to Basics initiative, we've removed any expansionary CapEx and fully focused on what is required for maintenance and regulatory purposes, and we brought our estimate down for 2026 to $260 million. Moving to Slide 9, and I've touched on a number of these themes. But just to reiterate a few points. as you know, we have a covenant linked to our leverage ratio. It's -- the math on that is slightly different to the published balance sheet numbers that you have. So overall, the ratio came in at 4.9x for the quarter. As I say, that's within the revised covenants that we've negotiated. From a liquidity perspective, very pleased to say that we do have $143 million on hand. We've got RCF facilities that are undrawn of $680 million (sic) [ $608 million]. So we believe that gives us adequate liquidity. And as always, and I think that's emphasized by our achievement to negotiate with the banks. We have very good relationships with our banks. They are long-standing. They understand our business. They know the cyclicality. They know where we are with the current macro challenges. And we stay close to them. We ensure that we've got maximum flexibility during this difficult period. The middle block here is what I've already talked about. So I don't intend repeating that. On the right-hand side, you see a strong focus on Back to Basics, evidenced by a reduction in CapEx that I've talked about, substantially lower than it was last year, obviously and we've removed any nonessential CapEx. At the same time, we've got a number of cost-saving initiatives across the group, and we're targeting $120 million for the year. A lot of that's in Europe, but it is across each of the regions. Moving to Slide 10. I don't intend going through this is our 5 strategy. The pillars are still relevant, and we continue to work across all of them, but it's fair to say that at this point in time, we're laser-focused on Back to Basics and getting through these difficult market conditions and ultimately resuming our reduction in debt, and there's a strong focus to reducing debt in the years ahead. Slide 11 is a slide that we did include last quarter, just some of the strategic initiatives in Europe to rationalize the business and cut costs. Those initiatives are on track. Specifically, the consultation processes are now complete where labor has been impacted. At Alfeld, we have completed PM1 and PM4 closure and similarly at Kirkniemi PM2. Those have been completed now, and the benefits from those will start flowing from Q2 onwards. Slide 12 has the joint venture with UPM. Back in December, we did announce this. I don't intend repeating everything I said on the results call that we had for this other than just to reemphasize that we're very excited by this transaction. We think it represents a tremendous opportunity and ultimately will lead to reducing our exposure to graphic paper in Europe. We think there are substantial synergy opportunities, and it will help reduce debt. So things are on track, and that probably leads into Slide 13. Things are ongoing. And ultimately, we're working through finalizing agreement, definitive agreements. We're targeting to do that in the first half of '26, secure and finalize the financing. And thereafter, we will take that to shareholders. There will be a circular and we'll vote on that. But generally, everything on track. The transaction is obviously subject to a number of suspensive conditions, the biggest one being the approval from competition authorities. We've been engaging with them. It's progressing as expected so far. It's early days, but we have teams working on that, and we'll update you when we do have progress. We are targeting completing the transaction by the end of 2026. Moving to the segmental. And firstly, on pulp, underlying volumes and demand for Sappi's Verve DWP continued to be good and solid. I'm pleased to say that stability in South Africa's production has been good. Production at Saiccor has been -- since we completed that expansion project a number of years ago. Operations are stable, and we're very pleased with that as all the work that's been done there. Similarly, North America volumes up. The big challenge, and I'm repeating what I've said earlier, it's the lower DP prices, which is driven by overall pulp markets globally being at relatively low levels. You can see it's $160 lower than it was a year ago DWP and then the exchange rates coming through. So those had a major impact, which impacted on the volumes. Packaging on Slide 16. Volumes generally okay, albeit that North America, the ramp-up on PM2 is a little bit slower than we would like it to be. But generally, volumes is not the issue. Global packaging markets are under pressure, which has affected selling prices in each of our businesses. And that's the main issue at the moment. Specifically in North America, we had the shut so that would impact on profitability in the quarter. And as I said earlier, there was a couple of once-off utility power-related incidents in -- at the 2 mills in the U.S., which impacted on our efficiencies and our usage of raw materials in the mills. Moving to Slide 17, Graphics. I don't think there was any surprises in terms of the market declines in graphics. It was about 8% in both Europe and North America, and that was expected. Specifically to our North American business, we obviously converted PM2, so that took our capacity out, and we had some production issues that I referred to earlier. So that meant that overall, it did have an impact on margins in the North American region. The Europe volumes as expected, but pricing in that market has been under pressure linked to the excess capacity. I should have mentioned earlier that pricing in North America has been healthy with the tight market conditions following our conversion. And moving to Slide 18. I don't -- there's a lot of numbers on this page, just very briefly just talking about each of the regions. Europe, as I said earlier, volumes holding up reasonably okay. It's a pricing issue linked to the excess capacity across both Graphics and Packaging. In North America, we had the shut in the quarter, which impacted on volumes coming out of and those once-off events referred to coming through which overall impacted profitability. Selling prices down, that's not a Graphics, that's both in pulp and the packaging grade. And then in South Africa, very good volumes, but DWP selling prices towards performance. And you can see that selling prices overall 12% down on a year ago. On Slide 19, just some of our ESG issues. A few to call out. Firstly, on the CDP, very pleased with our scores. We've seen an improvement on climate change, an improvement on forest. We're very proud of that. And also very proud of the awards that we -- or the recognition that we received from Forbes in terms of being one of the -- globally one of the world's best employers and top companies to work for women. The annual report and the sustainability reports have all been completed, and they're all online for you to have a look at. Moving to the outlook on Page 11. Just to repeat, DWP volumes are okay and robust. So demand is good, but it's a pricing challenge that we currently face. We're doing a lot of work on costs to take costs out of the business to help mitigate some of that impact. And then moving across to Slide 22, strong focus on efficiencies in our Back to Basics and optimizing working capital and with a longer-term focus, obviously, of reducing debt. So taking everything into account, our guidance for 2026, with the exchange rates where they're at, at the moment and the DWP prices, one thing I should have called out, DWP prices have increased in the last couple of weeks a little bit, but it is moving in the right direction. I do think exchange rates is playing a major role in that because obviously, DWP prices are priced in dollars. So I think the fact that the dollar is weaker should help us as well. But taking all of that into account, we anticipate that the adjusted EBITDA for the second quarter will be lower than what we just reported for the first quarter. So operator, I've gone through the presentation. I'm going to now hand it back to you for questions.
Operator: [Operator Instructions] And now we're going to take our first question, and it comes from the line of Sean Ungerer from Chronux Research.
Sean Ungerer: Steve, just in terms of a couple of points around guidance, if you don't mind. So obviously, there's a $120 million cost savings program flagged, I think, with $60 million in Europe roughly. Can you just give a little bit of color on the split for the balance? And then I guess, just in terms of cadence across the regions, how we should think about that for the rest of the year? I'll start off with that.
Stephen Binnie: Sorry, your second question, what across the regions?
Sean Ungerer: So $120 million cost saving programs at a group level. I think you flagged $60 million for Europe specifically already. I'm just trying to get a bit more color on the balance sort of how maybe across North America and SA. I know, for example, headcount was down in SA in Q4, fixed cost down about 4%, and then just obviously, in addition to the split, just to understand like the rollout of those fixed cost savings, how we should sort of think about it maybe quarter-by-quarter for the rest of the year?
Stephen Binnie: Yes. Thanks, Sean. I'll let Glen give you the split approximately across the regions. In terms of the split across the year, there was about $30 million in Q1, Glen, right? And the balance for the rest of the year is roughly even. Even over the remaining 3 quarters. Yes. But maybe the first question, you can talk about the regional split.
Glen Pearce: In terms of the regional so as you rightly pointed out, Sean, the bulk of that is in Europe. It's about a 60-40 split, 60%, 40% split as far as fixed to variable. And as I say, the bulk of that is coming out of Europe. There are variable cost usage variances or improvements in both North America and in South Africa, but that would be the split.
Stephen Binnie: Yes. But the split between -- it's more -- more of it is North America than South Africa.
Glen Pearce: So it's about the balance.
Sean Ungerer: And then just to bring you on to the next question. just to understand sort of the defensiveness of the SA business if the bulk of those cost savings are sort of more Europe and North America. I'm just trying to get a better feel of how SA business, I think around 60% of volumes or capacity is dissolving wood pulp, right? And sort of we're sitting at $805 for DP, $16 for the rand. I understand you obviously had quite a bit of volume ramp-up in Q1. I think volumes are up about 37,000 tonnes year-on-year, which is great. I mean, you've obviously got some maintenance still coming up for 2 more quarters for the rest of the year. Is the volume -- incremental volume going to be enough to offset that? I mean, how should we be thinking about that?
Stephen Binnie: Yes. Look, Sean, I guess I'm repeating what I said earlier. Clearly, at these exchange rates and these dissolving pulp prices, our South African profits are under pressure. We are targeting savings and costs, and Glen has quoted the numbers. On top of that, we do have initiatives underway, which are not in those numbers to look for further opportunities, which may help us further. So in summary, yes, the pressure will be on our South African business, our margins at these levels. That's fair to say. Graeme, I don't know if there's anything you want to add.
Graeme Wild: Yes. Obviously, proportionately, we have a very big exposure on both exchange rate and the DP price. The combination puts it under enormous pressure. I think the biggest opportunity for us is in the operational efficiencies side. We have had -- we have been steadily improving our productivity, but I think there's still more that can be done there. And that doesn't only give us additional volumes to sell, but I think can substantially reduce our variable cost per tonne. And that's what we're working on, and that has the most significant leverage. But in the short term, very hard to offset that big move in the rand.
Sean Ungerer: And then I've got quite a few more, but I'll just ask one relating to, I guess, Europe and the JV. Face value, I mean we've seen that the industry is going to sort of sits and waits until hopefully the JV closes out, which I'm assuming means there's sort of limited pricing pressure on maybe a 6- to 12-month view. I don't know if you sort of agree with that. And then I guess, secondly, linked to that, I mean, obviously, best case scenario is that the deal does go ahead. But if it doesn't go ahead, I guess the question is what sort of gearing levels is -- are you happy to have on the balance sheet? And I guess, what would be the solution around reducing gearing if the JV doesn't go ahead?
Stephen Binnie: Yes. Yes. Look, on pricing in Europe, as you know, the selling prices have come under pressure in recent quarters. Yes, I mean, our focus is obviously to protect those prices and ultimately look for price increases as we move forward. And that's something we are trying to evaluate on an ongoing basis. Marco, anything you want to add on that?
Marco Eikelenboom: No. This is now a period of time that has been last for 18 months. So I think what we're trying to do is besides the cost reduction Steve spoke about, the capacity reduction or readjustment towards growing areas is to maintain our margins. You're right, Steve. And whether that's through further reduction of variable cost and pressure on some of our cost categories or price improvement through bottom slicing, plain price increases or optimization of our portfolio, that is all part of the game. But it's certainly currently not to be expected that it comes from a dramatically better market situation than what we're seeing right now and for the coming quarter.
Stephen Binnie: Thanks, Marco. To your second question, if Europe doesn't happen -- sorry, if our project with UPM doesn't happen, we need to look at all options. There's 2 aspects to your question. Firstly, on Europe itself, we would need to look at options to reduce our exposure to graphics in time, and we would need to look at our asset base. We would need to see if there was other alternatives for exiting some of that capacity. More specifically to your question on gearing, yes, again, once again, those options that I'm referring to, we would -- we'd have to consider ones where we could monetize and try to look at alternatives that can generate cash for us to reduce our debt. So that would be our focus. What I would say is you're assuming it wouldn't happen at all. Clearly, there are scenarios in the middle that you want an outright approval, but there could be scenarios where there's approval with conditions. And those would be more likely than an outright rejection, and we would need to evaluate that at that point in time.
Operator: And now we're going to take our next question. And the question comes from the line of Brian Morgan from RMB Morgan Stanley.
Brian Morgan: If I can just ask a question about balance sheet and stress testing and all of that sort of stuff. If we're in a scenario where in 12 months' time, the rand is still at $16 and DWP still at $805, how does your liquidity situation look? Maybe, Glen, would we need a capital raise at that stage?
Stephen Binnie: Yes. I'll start, and then I'll let Glen come in. Once again, I'll point you towards the increased covenant levels that we've negotiated with the banks and the flexibility around that and the strong relationships that we have. So that gives us significant flexibility as we move through this. Specifically to the capital raising. So Brian, we've got long-term relationships with our banks. And we -- you've highlighted an issue there in terms of how volatile it is at the moment. And what we're doing is we've got an open dialogue with them. We're keeping them abreast of what our forecasts are, and we're discussing with them how -- what the progress is. So it's just an ongoing dialogue, and we're constantly updating it.
Glen Pearce: Yes. So Brian, what we're really saying is that we're not contemplating any capital raising at this point in time.
Brian Morgan: Okay. And asset sales, are they possible? I mean you've spoken about the JV, but any additional asset sales outside of that?
Stephen Binnie: Yes, it's not something we're looking at immediately. But I guess you're talking worst-case scenarios. Obviously, we would have options there, but it's not something that we are looking at the moment. We're focused on improving what we can control internally and working closely with our banks to ensure we've got maximum flexibility as we move through these challenging times.
Brian Morgan: Last question, if I may. About $1.9 billion of gross debt. I'm trying to unpack from the numbers, but I'm struggling to do so, just how much of that is subject to covenants. Could you give us a ballpark?
Glen Pearce: Brian, our RCF is pari passu with our bonds. So it's all linked to the covenants.
Brian Morgan: Sorry, what does that do?
Glen Pearce: It's -- our RCF is pari passu with our bonds and our bonds are all linked to the long-term loans you referred to. So the covenants are linked to the full amount.
Stephen Binnie: So the RCF is with the banks -- the banks are pari passu with the bonds, we're hopeful, Brian. But that's normal. That's standard stuff.
Operator: And the question comes from the line of James Twyman from Prescient.
James Twyman: So I've got 2 follow-ups and then one of my own. In terms of the covenants that we've got here, could you just talk around what the new covenant levels are with the banks and how long they are before the covenants go back to maybe the 4x net debt to EBITDA that you're originally on? And then on the cost savings, so you've talked quite a bit about the $60 million of cost savings that you're getting from these big 5 projects you're doing in Europe. But I think it's a big positive surprise that there's another $60 million that you're now talking about that's coming from elsewhere. It would be great to get some more color on what projects these are because it's another very, very big number. And then the third question, if I may, is these energy credits you're getting in Europe are becoming increasingly important. How much visibility do you have on where this goes in future years? I mean is there a clear method that the EU uses to calculate them? And -- yes, how much confidence do we have that this is something that is sustainable because it's obviously risen quite substantially.
Stephen Binnie: Yes. On the covenant level, we don't give the specific number. But in terms of the levels, it's -- there is quite a bit of headroom above where our current debt levels are at. And we've negotiated in terms of the new covenant -- once again, we don't give the specific levels, but we've elevated it for a significant period of time. It's not just a couple of quarters. It's for a significant period of time. Glen, do you want to take the cost savings in the other two regions for the remaining 60%?
Glen Pearce: Yes. Sorry, in terms of the 60% on...
Stephen Binnie: The $60 million other savings on cost savings that are part of the $120 million.
Glen Pearce: It's all linked to your variable cost on your fixed costs. So as I said, I'll split that between the 60% variable costs and 40% -- 60% fixed costs and 40% variable costs. The bulk of that is in Europe. And then going into the bulk of that 60% on the fixed cost comes out of the capacity reductions that we have in Europe.
Stephen Binnie: The portion that's not Europe is -- there are fixed cost savings there. So there are headcount reductions and there's operational efficiency improvement. We've had some negative usage variances. And then on the procurement side, we've been able to target some new initiatives to save on raw material costs. And that's -- when Glen talks about the 60-40, the fixed cost is obviously predominantly headcount and the variable cost is on the usage and the raw material costs. And your third question, the energy credit, look, it's a good question. It's not just Sappi, a number of industry players have been getting these credits. And really what they're for is you incur higher energy costs during the year and the various countries in Europe recognize that and they give you refunds. It's been ongoing for some time and by all accounts, is expected to increase -- sorry, to continue. So we believe it will be there in the years ahead. And there's no signal otherwise, James.
Operator: [Operator Instructions] And now we're going to take our next question, and it comes from the line of Brent Madel from ABSA.
Brent Madel: If I could maybe just ask a question around the UPM or the proposed UPM transaction. Are you able to give us an update as to where we are in the process with regards to the JV sourcing funding to complete the transaction? Are you able to give us an update on that?
Stephen Binnie: There's nothing new to say other than it's an ongoing process. It's working in parallel. Ultimately, we've appointed lead banks, and we've got strong commitment letter -- we've got strong letters of support from them. And we're busy finalizing the agreements with UPM. And as part of that, sharing our numbers with them and they're doing their assessment. So it's progressing as planned, and it's something that we expect to finalize at the time of signing the agreements with UPM.
Operator: And the question comes from the line of Detlef Winckelmann from JPMorgan.
Detlef Winckelmann: Just a very quick one on Consumer Board. Obviously, you're trying to ramp up Somerset into what is quite a weak and oversupplied market right now. And I did pick up that you're looking to -- or that you ramped up a bit slower than what you expected. Seemingly, it doesn't look like the oversupply is correcting in any way. So I'm just trying to work out, I suppose, one, how you envisage that ramp-up going in the next, say, I don't know, 1 year, 1.5 years while this oversupply persists? And then secondly, we have seen some price cuts more recently on SBS. I understand that SBS pricing is a little bit more closer to some of the other substitutable grades. But are we seeing any price pressure in those substitutable grades yet that kind of erodes that benefit for SBS?
Stephen Binnie: Thanks. Yes, in terms of the ramp-up on PM2, there's a number of dimensions, which we can talk about. And I'll hand over to Mike just now. But just firstly, we are ramping upwards. Interestingly, we did have a couple of existing customers that had their own challenges. And they actually had less volumes in the quarter. In terms of signing up new customers, we are seeing positive progress, not quite at the levels that we originally anticipated, but it's better than the underlying overall volumes appear because those other 2 existing customers had some challenges. As we look forward to the -- for the year, there's a lot of good positive news coming out in terms of signing up customers and the volumes increasing. It's not at the levels that we originally anticipated, but we are anticipating substantial improvement. Mike?
Michael Haws: The only thing that I'd kind of add to that is some of the new products have taken a bit longer with qualifications at the customers' plants. And that's specifically when it's some of the smaller customers. We are not seeing erosion in some of the competitive products as of yet. You asked that question. The other thing that we have been doing is expanding geographies, and that has been working pretty well for us. So there's a number of new opportunities. And it's been a qualification along with the kind of bit of a challenging demand. We also are making graphic grades on PM1 is that, that machine can swing. So as that market can absorb volume, we're also using that tool.
Detlef Winckelmann: And then if I can do one more follow-up. I mean, obviously, with your ramp-up still ongoing, you mentioned maybe some qualification delays, but not necessarily bad demand for your products. I'm curious as to whether the pricing discipline has been maintained or whether you managed to get these new contracts just by undercutting the market. Just curious on that.
Michael Haws: I'll offer what I can. You're asking me a specific pricing question, but that's not something we typically get into the detail on. The price decline in the market happened before PM2 even became at a commercial product to offer. And that has been a bit of a challenge. So the other thing that I'd offer is that there has been some dynamics around imports as imports make up about 500,000 tonnes in the SBS or board grades into the U.S. And that's been kind of a bit of an on again, off again kind of thing based on tariffs and other things that are happening. So there's been other price pressures. And I think that's the best I can offer you there.
Operator: And the next question comes from the line of Andrew Jones from UBS.
Andrew Jones: I think that last -- beat me to that question, but I'd just like to just dig on that a little bit more. Can you just give us some numbers around like your utilization on the mill and how it evolves through the 2025 period at Somerset? And can you give us some numbers around your expectations for the speed of ramp going forward? And also just a bit of a follow-up. I mean the sort of customers that you're selling into, I mean, I guess, are they buying from European suppliers? Have you seen any impact from tariffs, currency move, et cetera, in terms of those suppliers being pushed out or any change in the import there that you could talk to?
Stephen Binnie: Yes. I think let me take the second part of your question first. There's no doubt that the tariffs that have been placed on the European importers into the U.S. has helped. So although overall market conditions are generally difficult, the fact that those have been introduced is creating opportunity with potential customers for us. That is a support for us. In terms of the ramp-up, as you know, we talked earlier -- on earlier calls like this that by the time we got to the end of Q4 next year, we will be close to full on the machine. It's fair to say because of what we've described, we're tracking behind those levels. I can't give you a specific number, but the machine is still -- by the time we get to Q4 is going to be significantly fuller than it is currently. It might not be 100, but it will be at substantially higher levels than current levels.
Glen Pearce: Steve, the only thing I'd add to that is when you're starting up a new machine, there's an expected ramp rate that's less than full capacity. And the ramp in our CapEx was expected to take over 3 years. The OMEs of the machine are moving forward really well and the quality of the machine is moving forward really well. Part of our offering into the market is more of a long game with relationships and product attributes that because of the equipment we have, we can bring consistency and other attributes that aren't necessarily engineered into the other competitors' assets. So lots of work going on. I'd say that tariffs at time have opened doors for us. That was the other question that you asked.
Operator: Now we're going to take our next question, and it comes from the line of Shubham Agrawal from BlackRock.
Shubham Agrawal: Yes. So I have a couple of questions. So to start with first on RCF, can you help us remind, is the RCF availability full? Or do you have some leverage covenant on that?
Stephen Binnie: Sorry, was that the RCF?
Shubham Agrawal: Yes.
Stephen Binnie: Yes. I think you're asking how much have we utilized? I think it was about $100 million...
Glen Pearce: That's right. It's just over $130 million...
Stephen Binnie: Yes. And we have available $608 million at the end of the quarter. I think that's what you...
Shubham Agrawal: Is the RCF fully available? Or do you have any leverage going?
Glen Pearce: It's fully available.
Shubham Agrawal: Do you have any restriction.
Glen Pearce: It's fully available.
Shubham Agrawal: Okay. And the second question that I have on the unplanned disruption that you have seen in the quarter. Can you give us some additional detail on that? I understand you have already said on that, but yes, any additional color would be really helpful.
Stephen Binnie: I'm sorry. Disruptions in -- more color. Okay. I'll let Mike -- we don't want to go into too much detail, but we had 2 specific once-off incidents, which impacted on our utilities. As I said, we -- they're behind us. But Mike, do you want to share a little bit more on that?
Michael Haws: Certainly. So the 2 big mills, Somerset and Cloquet, each of the mills ended up with the utilities event. In Somerset, it was a steam supply issue that ended up running close to 2 weeks that impacted machine performance and costs while we were repairing that. In Cloquet, we had a disruption of the power supply into the mill, right at the Christmas time, where we ended up with over a week of downtime there as we were bringing the utilities back online and getting everything back up and running. That whole event was exacerbated by really cold temperatures. Everything is back up now, and we put corrective actions in place to prevent reoccurrence.
Operator: Now we're going to take our next question. And the question comes from the line of Saul Casadio from M&G plc.
Saul Casadio: I just have a couple of really brief ones. Can you give us the spot price of GWP? I don't have the price data anymore. So I was wondering whether you can provide that.
Stephen Binnie: Yes. Today, as we speak, it's $805 a tonne.
Saul Casadio: Okay. And the other question is just a clarification because you said the RCF is pursue with the bonds, which is normally, it is seniors versus the bonds. So I was wondering whether there's something specific in the structure whereby the RCF is part with the bond. So try to better understand this, if you can clarify this point.
Glen Pearce: Just to clarify that, there are actually cross-default provisions on that. So the covenants themselves only apply to the RCF and OB loan. But in the event that there is a default, then the bonds then share in pursue on any default, if that clarifies it.
Saul Casadio: And why is that the case? Because normally banks would try and get a super senior position with the RCF. Why not in this case?
Stephen Binnie: Sorry, is that -- could you just repeat that, please?
Saul Casadio: I mean what I'm saying is that it is a bit unusual. Normally, the RCF is senior has a priority in case of, let's say, default that gets repaid first. but this doesn't seem to be the case in your capital structure. I wasn't aware of this. And yes, I'm just trying to clarify. Normally, the banks can take security ahead of the bonds that they normally do that.
Glen Pearce: No, as I described it.
Stephen Binnie: Yes. And I guess if there's more clarification, we can take that offline.
Operator: Now we are going to take our next question, and the next question comes from the line of [ Andre Pettus ] from...
Unknown Analyst: Just a few. First one, you've had a bit of working capital releases the last 2 quarters. Just your expectations for the rest of the year in terms of absorbing or releasing from here? And then just secondly, in terms of those once-off events in the U.S., you quantified the hit in terms of the, call it, the maintenance closure you had. Can you maybe take just the order of magnitude step in terms of what the potential once-off hit was there in EBITDA terms?
Glen Pearce: All right. In terms of the working capital, you're right, there was a release in the current quarter. And for the year, we anticipate a release as well for the full year.
Stephen Binnie: Yes. On the second one, a lot of the impact, as I mentioned when I was going through the deck is aside from the lost production, you have inefficiencies and negative usage on the mills. The approximate impact of these is about $10 million.
Operator: And now we're going to take our final question for today. And it comes from the line of [indiscernible]
Unknown Analyst: So a couple of questions from me. The first one, I just want to understand, so you lowered your CapEx guidance from $290 million to $260 million for the full year 2026. I wanted to know to what extent it could be lowered to -- what are your main CapEx and what is like the level you could not go lower for this year? And the second question is for the DWP prices. It seems that for a certain time in 2023, I think that the prices were also around the $700, $800 and then rebounded. I wanted to know if we should see the $700, $800 prices for DWP as a low level that can only maybe go up. And the last one is I want to understand what changed because you -- so basically, your guidance was for Q1 for the plantation fair value adjustment to be positive. In the end, it was negative. So I think that it means that there was a much higher decline in wood prices in South Africa than what you expected and just maybe what you're seeing about that?
Stephen Binnie: Yes. All right. Firstly, on CapEx, yes, we've taken a very close look at our CapEx levels. And as I say, we've eliminated anything that we regard as nonessential. You're asking, can it go down further? I don't think so. I think that's our best estimate of what the CapEx will be for the year, the $260 million. The DWP, you are right. Back a couple of years ago, the dissolving pulp price was at those lower levels, but there's very different other macro factors. The dollar was worth a lot more than it is today. And a lot of the producers with the currency shifts, it put them under more pressure. So all of us have a desire to increase selling prices. And I think that's what's given a little bit of traction in the last couple of weeks. The conversations, and I'll let Marco and Mohamed chat a little bit about it. But all the pricing discussions are around currencies and its impact on currencies. And that's the focus of attention in China at the moment. Mohamed, maybe you want to elaborate further.
Mohamed Mansoor: Steve, just on the currencies, you mentioned that supply side currencies in terms of the Riyal, the Chilean peso and of course, the rand has all strengthened. So there's a desire across the board to get the dollar price up. But on the buying side as well, we've seen a strong appreciation in the renminbi. So that makes affordability by the buyers for higher U.S. dollar prices easier. And if you just look at where the renminbi price of dissolving wood pulp has moved over the last year, it's gone from about RMB 7,500 early last year to today around RMB 5,500 just purely because of exchange rates. So that is definitely, I think, providing support and incentive for higher U.S. dollar price.
Stephen Binnie: Yes. And then I think your last question, you were asking about the plantation fair value adjustment. There was a further negative impact in the quarter. And as we move forward for the rest of the year...
Glen Pearce: We're anticipating for the rest of the year, it's going to be -- there's going to be further negative adjustments, and that's because we have -- it's a rolling 4-quarter valuation, and you still got the lower pricing coming through in our fair value adjustment. So you should see further adjustments -- negative adjustments coming through.
Operator: There are no further questions for today. I would now like to hand the conference over to your speaker, Steve Binnie, for any closing remarks.
Stephen Binnie: Once again, I'd just like to say thank you to everybody for joining us, and we look forward to discussing our results with you in 3 months' time. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.